Operator: Good day, ladies and gentlemen, and welcome to the Newtek Business Services Full Year 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question and answer session and instructions will follow at that time. I would like to turn the call over to your host, Barry Sloane, President, Founder and CEO of Newtek Business Services. Please go ahead.
Barry Sloane: Thank you operator and welcome investors to our first call ever as Newtek Business Services Corporation, a new business development corporation that was established on November 12, 2014. Our prior company Newtek Business Services Inc. was merged into Maryland Shell to form Newtek Business Services Corp. and that is how we are beginning our new life as a BDC. What I’d like to do is introduce my other presenter and Senior Executive at Newtek Chief Accounting Officer, Jenny Eddelson, who will be presenting here with me today. Jenny would you be so kind as to read the Safe Harbor statement?
Jenny Eddelson: Sure. Statements in this presentation including statements regarding Newtek’s beliefs, expectations, intentions or strategies for the future and discussion of our financial condition and result of operations is intended to assist any understanding and assessment of significant changes in trends related to the results of operations and financial position of the company together with the subsidiaries and maybe forward-looking statements. This discussion and analysis should be read in conjunction with the consolidated financial statements and the accompanying notes which will be contained in the Company’s Form 10-K for the year ended December 31, 2014. All forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from the plans, intentions and expectations reflected in or suggested by the forward-looking statements. Such risks and uncertainties include among others, intensified competition, operating problems and their impacts on revenues and profit margins, anticipated future business strategies and financial performance, anticipated future number of customers, business prospects, legislative developments, and similar matters. Risk factors, cautionary statements and other conditions, which could cause Newtek’s actual results to differ from management's current expectations, are contained in Newtek’s filings with the Securities and Exchange Commission and available through www.sec.gov.
Barry Sloane: Thank you, Jenny. I’d like to call everyone’s attention if they are interested in following along with the PowerPoint presentation that is on the Investor Relations section of our website thesba.com, go to Investor Relations and you’ll see our PowerPoint presentation for today. We’d begin on page number 2, company highlights. As we had mentioned, on November 12, 2014, the company converted to a business development corp. Yesterday’s closing stock price of NEWT was $19.64, today is the first day that we’ve actually been trading ex-dividend. On 2/25/2014 at the market close, we had a $200 million market cap, quite a milestone that market cap is achieved on 10.2 million shares outstanding. From the date that the company raised its equity capital and converted to BDC, our market capitalization went from $129 million to $200 million from 11/12/2014 to March 25, 2015. On March 19, 2014, the Board of Directors declared its first dividend as a BDC. It had previously issued guidance of $0.38 for the first quarter of 2015 and then increased that dividend to $0.39. The Board and management estimate that that dividend is based upon paying out approximately 90% to 98% on the earnings that will be recognized during the first quarter of 2015. Just a conversion, for those of you that follow institutional ownership which we think is important; it’s increased by about 40% from September 30, 2014 to December 31, 2015. If you take a look at our holders, we now got investors such as Wellington, Perritt Potomac, Zelman Royce and others that are in the stock. We are very proud of our new institutional ownership. One of the benefits of converting to a business development corp. is that it significantly helps the overall strategy of our company which has been in existence with a publicly traded company for 14 plus years to rollover cost of capital. We have significantly raised our ability to raise less expense of equity based upon tax advantage structure via a larger market cap company having reversed to split the stock and getting better debt financing cost which we’ll talk about later on in the presentation. Management is extremely hopeful that we will be able to grow our net asset value, our dividend and business enterprise over the course of time as an internally managed BDC. On page number 3, we talk about the specific legal aspects on November 12, converting to a BDC and as a result of the conversion; the company is reporting GAAP financial results as an operating company for approximately 10.5 months from January 1, 2014 to November 11, 2014. The GAAP financial results from a BDC will be reported in the same K from November 12, 2014 through December 31, 2014. We will put our press release out slightly up to 4 O’ clock today. There is some important financial information in that press release, some of it or most of it or good chunk of it is going to be repeated in this presentation. But due to the conversion, the required adoption as new accounting methodologies under the BDC structure there is no prior period results to rollout year-over-year comparisons. What I am going to strongly suggest to, the many thrill secrets that we have on the call and the investment community, we will have approximately 187 page 10-K that we will release on or about 3/31/2015. Jenny and I will be able to take calls once that’s released after its release go over with investors whatever is in that particular document, I will tell you it’s purely thick, it’s two Ks in one and there is a lot to talk about. Obviously, the change in accounting, midstream in November changed a lot about how we would typically approach things and it just led to some interesting financial results which we’ll talk about today. I will state that our effective tax rate in 2014 was 55%. As we sit here today, we elected RIC status in 2015 so we pay no corporate tax. We are happy about that. We certainly – although we don’t have any say in this dollar of earnings in 2015, it’s clearly better than dollar of earnings in 2014. Moving over to slide – Page number 4, prior to doing the conversion and doing the capital raise, Newtek at the excellent selection of its investment bankers JMP and Ladenburg, effected a 1 for 5 reverse stock split that gave us a double-digit stock price to be able to approach institutions prior to the road show. We are very happy to say that our stock actually traded pretty well even subsequent to the split and all our share data has been adjusted to reflect that reverse stock split. We went out and solicited a raise of 2 million shares. We are able to upsize the deal to 2.2 million shares. We pulled down the green shoe. The book was oversubscribed. We actually had orders for approximately 4.5 million shares, really happy about that and the deal was obviously very well placed and very sold and we offer tremendous compliments to our book running managers JMP Securities, Ladenburg and Lebenthal. We are now an internally managed BDC, that means we don’t pay any incentive fees to an external manager. Management’s interests are very much aligned with shareholders. There is no double dipping. I am a very significant shareholder and my future is primarily based upon share price appreciation and dividends. Internally managed BDCs and we look at four of them, Hercules, KCAP, Main Street and Triangle at the comparisons that typically trading at a median price to NAV of approximately 1.4 times, we are still underneath that number. And the average dividend yield is slightly under 10% as well. Another key important point we talked about this from a tax perspective electing RIC status that occurred on January 1, 2015. So we no longer a corporate tax payer or taxes are paid at the shareholder level. Moving to Slide number 5 on NAV, as of 12/31/2014, actually the latest reporting functional date for this call relative to results, $16.31. So when you look at our net asset value and our schedule of investments, we are up to $16.31, previously had announced on June 30, 2014 pro forma NAV of $15.50. So a nice $0.80 increase. We have historically forecasted a cash dividend of $1.80. We increased that by a penny and that was done at the Board level. So that is our current guidance in the market for the full year of 2014. That is a forecast and Board will declare dividends going forward based on its discretion on a quarterly basis. We expect significant loan funding and balance sheet growth in 2015 based upon the additional capital and the value that’s afforded to us in our business model. On a positive note, one of the important aspects of being a public company is the currency. Having a currency that is more liquid, trades more frequently with a higher market cap, very valuable. We took a look at our dollar-based average trading volume prior to this transaction, up to September 2014; you are looking at a $2 or $3 stock and 50,000 to 60,000 shares trading a day. In dollars, for the month of March, we are averaging about $2.2 million. I think yesterday, we traded around 360,000, 380,000 shares at mostly high $18 to $19. So you could see we are trading a lot more dollars in a given day. We are happy about that. That’s great for shareholder liquidity. It’s also great for the future movement and potentially using your shares for acquisition opportunities. We talked about the increased institutional ownership. We certainly encourage all of you to go to take a look at our shareholder list. I think it’s also important that when you add in insiders, the second largest shareholder Jeff Rubin the other Founder, board members and executives between institutions and the insiders we own about 50%, which I think is pretty constructive for a BDC. We obviously love retail participation, but we also like the strong hands of institutions in our stocks as well as insiders. We recently had initiation of research coverage by JMP Securities, Singular Research previously had issued a research on us and we are hopeful for additional research coverage from the street. We were added to the Wells Fargo business development company index recently. Stock symbol WFBDC at this current market cap, it’s closed, but we are hopeful that will make the 2000 that obviously remains to be seen. We clearly talked about a lower cost of debt and equity capital and I think that’s important, because, it gives us really a new found ability to acquire and finance portfolio companies within our own business segments to enhance shareholder value. So what does that mean? When you look at the portfolio companies in the segment to payroll, electronic payment processing, insurance, cloud computing and things of that nature, we are hopeful that we are going to be able to do acquisitions say 4 to 8 times EBITDA multiple. If you take a midpoint of 6, that’s an 18% cash on cash return. It’s a little debt on that in your high 20s obviously those entities are taxable, that brings you down to the mid-teens. The reality of it is that’s extremely accretive to the dividend. And, you keep putting those business opportunities within the segments and all of a sudden, you get bigger bulk of the payment processing business, you get bigger bulk of an insurance agency business, of a payroll business, of a cloud computing business and you’ll start to get to bigger valuations that we’ll talk about in later parts of the presentation. On Slide number 6, we talk about our CapitalOne Bank Line, one of the big benefits of the BDC conversion, obviously we are better capitalized, CapitalOne has agreed to and it’s subject to the SBA’s approval of which all of their financings need to be ratified and approved by the SBA to basically strip away a lot of the other collateral – pieces that collateralized that previous $50 million line. So going forward, the CapitalOne Bank line will be subject to a holding company only guarantee. We’ll also obviously have the ability to distribute earnings out of Newtek’s Small Business Finance or SBA 7(a) lender. The prior line had been collateralized by the merchant processing business, the technology business, the insurance agency business and the payroll solutions business. The value of being able to reposition that line is now those other businesses are able to be levered and currently at the holding company, those particular businesses are collateralizing some holding company debt to make a long story short. It’s about $8 million or $9 million worth of debt that’s paying down. We think we should be able to get more leverage out of that and that will reduce our need to raise more equity in the near-term versus the long-term. So we are actually quite excited about that. Going to Slide number 7, I think this is the most important slide in the entire deck, net asset value. So when you look at the history of the company from 2010 to current times, we were at 7.79 book value and today we are sitting at 16.31 now. This is what you are buying. You are buying a company that has a real strategy of positioning itself as a financial and business service provider and a better business owners all across the United States that according to the small business administration numbers about $27 million, it’s about 50% of GDP. You are buying into a management team that most of the senior managers here have been with the organization for over 10 years. You are buying to a great market. We think the small or medium-size market particularly with the trend towards immigration and capital coming into the United States has continued – going to continue to remain strong. You are buying into a team where your interests are very much aligned with management. We are major shareholders and we want to continue that, so when you look at this period of time without a lot of capital and without much financial leverage and in a fairly lousy economy, we had very good performance. That’s what you are buying into. So I am sure we are going to be having a lot of conversations about different changes in accounting in the fourth quarter and what does this mean and what does that mean. We encourage investors on this call to pay attention to the NAV, pay attention to the dividend projections, and look at the business model. It makes a tremendous of sense. Importantly, in looking at this chart, the company has been able to deliver value to its shareholders over the course of time. On Page number 8, we talked a little earlier about the declaration of our first cash dividend as a BDC that is payable on April 13. We are now ex-dividend and we are looking at $1.81. Obviously, that is subject to Board approval. In connection with the BDC conversion, Newtek will declare and pay a one-time special dividend during 2015. The special dividend is based upon the fact that we have to distribute all the retained earnings that were in the C Corp. So we make the RIC election in 2015, those retained earnings have to be distributed. There is fairly full disclosure in the K on this. There is fairly full disclosure in the perspectives on this. It was estimated at the time we did the offering that it’s approximately $47 million to $48 million of value that could change. That was a forecast. The ultimate number is decided by the final tax return as well as what has occurred. The tax return of 2014 which will be done in the spring of 2015 as well as what we finished up here with respect to our earnings. The Board of Directors will take into consideration, the timing, the amount of the composition of this distribution. It will be most likely in stock and cash, and that will be done once the company has filed its 2014 return. We believe that their special dividend is anticipated to be treated as a qualified dividend for tax purposes I would also forecast that will be predominantly be in shares and not cash. The extreme version of that is 20% cash, 80% shares. Moving to Slide number 9, some additional financial highlights. For the full year ended December 31, 2014 originated $202 million of SBA 7(a) loans, an increase of 13.7% over the prior year. My view, we had anticipated this closing little before the November date. So this $31 million of cash came in the middle of November. So that kind of slowed things down a little bit. But even so, we are all happy with that type of good steady, solid prudent growth. We originated $65.2 million worth of loans in Q4 2015. That was an increase of 12.4% over the $58 million in Q4 2013. We also originated a record $30 million of loans during the month of December of 2014. We anticipated originating $53 million of loans in Q1 2015, an increase of 16% over Q1 2014 and the range of total originations of 7(a) loans of $240 million, $280 million in 2015 represents approximately a 29% increase. We completed our fifth securitization, our largest one in December of 2015. It was about 40 basis points tighter than prior securitizations based upon level of rates or quality spreads and a securitizations to come in based upon real good performance. I think it’s important to note additional capital, bigger debt lines will enable to do larger securitizations, larger securitizations will mean tighter spreads, greater larger institutional participation in those transactions and potentially as we do more loans, more deals, greater frequency, greater return on equity. In the loan servicing portfolio, we had lost a fairly large portfolio of servicing loans for others. At the end of November of 2014, we did announce that we picked up a portfolio of approximately $400 million of loans serviced for others. I think we also put on an $80 million portfolio in the first quarter. We anticipate that we will have with the new portfolio which has not cleared our books yet, about $1.1 billion of servicing between our own portfolio and others over the next 30 days, as soon this gets solidified we will put out an 8-K on it. Also we believe we are going to have significant loan funding growth and balance sheet growth in 2015, particularly based upon the capital raise. On Slide number 10, we think obviously NAV, real important metric for us. We reported an increase of about 50% over book value of 31, 2013, $10.88 to while the June number was $15.50 but we announced $16.31 at the end of the year. So it’s $10.88 to $16.31, real nice increase that’s really indicative of doing of real good transaction converting into a BDC and driving shareholder value. Going forward, one of the important metrics we are going to be valued on is adjusted net investment income. For \BDC investors, and I realize we’ve got different types of investors on this call, we’ve got brand investors that don’t know the company very well or its business model and we’ve got BDC investors, it’s important for us to talk about NII. The traditional NII is interest income is dividend income, its capital gains.
Jenny Eddelson : No capital gains in NII.
Barry Sloane: No capital gains. No, the capital gains – okay. Basically, in base NII correct, there is no capital gains, it’s just interest income, dividend income, and that is what is reported. We are going to need to report an adjusted net NII because significant portion of our income is derived from the gain on sale of SBA 7(a) loans. That is also one of the reasons why when you look at our adjusted net investment loss of $1.9 million or $0.25 a share. Basically, the issue there is, we decided to hold approximately $30 million on loans originated in December and those were held over the end of the year. So although, that affected our net asset value, because it was an unrealized gain, it did not record an income. That will carry over into the first quarter. If those loans were sold, it would have generated approximately $3.3 million of premium income which would have positively impacted adjusted net investment income. With the addition of the $3.3 million of premium income, adjusted net investment income would have been $1.3 million or $0.18 a share. I think once again it’s important to repeat that our preference obviously, although we don’t make these decisions one way or another, we probably prefer to report more income in 2015 and 2014. This was a hold over and I think some of these vagaries will shake itself out going forward. But I would like to suggest just to skip Slide 11 and to go to Slide number 12 which continues this important aspect to becoming familiar with Newtek and that is gain on sale premiums. So when you look at over the course of time, 2010, 2011, 2012, 2013, 2014, our gain – our loan sale premium income trends obviously continued to go up. 2014 looks a little flat, obviously, December is our biggest – I should say the fourth quarter and December is our pretty biggest month always for loan originations of all the payment processing business. But in the event that we didn’t hold those over and actually under C Corp accounting that would have gone into the gain. But we have this change in accounting, so therefore as we talked about $3.3 million of additional premium income did not show up in the fourth quarter of 2014 or in any of our 2014 results. Going forward, we will report adjusted NII. You could see that our gain on sale from creating SBA 7(a) loans in which we sell the government guarantees as soon as we produce them, we’ll get our money back within 10 days. This is re-occurring income from us. We operate the 7(a) business very similar to have a mortgage banker in the residential business, who runs their business. So, this is real important to us and you’ll be seeing this in our performance and capital gains income, Jenny, is good income right?
Jenny Eddelson : Correct.
Barry Sloane: The reason why capital gains is excluded from most BDCs is it’s random and it’s sort of uneventful based upon interest rates dropping, bond prices going up and things of that nature. Our capital gains income from 7(a) is steady and it is re-occurring. Another important aspect of this is the price of the governments. Slide 13 is a good important comparison; we will be giving this data out on a regular quarterly basis to show how the prices are flowing through to us on gain on sale. So year-to-date weighted average net price to Newtek Small Business Finance or Newtek was $112.49 in the first quarter of this year we are averaging approximately $112.39, so it’s pretty close. Some of the other factors that are important which we try to depict is the maturity in loans. Longer maturity loans typically trade at significantly higher prices than shorter maturity loans. What we have excluded here is loans that are in between the 10 and 25 year. We’ve also excluded size, smaller loans and larger loans. Believe it or not larger loans trade at deeper discounts than smaller loans do. We will track this on a very diligent basis to investors. This is a very important part of our overall profitability going forward. On Slide number 14, we’ve got the current loan pipeline. I think it’s important to see that we have a total loan pipeline of $319 million. Loans approved pending closing, that is a very high close rate, $43 million, loans in underwriting, $39 million, pre-call $32 million, open referrals $230 million. We feel real good about our pipeline. We are getting more closes out of the same amount of pipeline that’s because our close rate is higher. We’ve made some major changes internally in operations. We’ve added a lot more staff. We brought the closing price at; I’ll say almost entirely in-house, where last year it was almost entirely external. We’ve added more underwriters, we’ve added more assemblers. All of these expenses are fully loaded into the internally managed BDC. We also plan at opening up an office in Boca Raton, Florida and we’ve recently opened up an office in Dallas. These are offices where we are able to bring in the best and brightest staff all across the United States in close proximity to their homes. I’d like to sag way back to Slide number 11 if I can, which talks – it’s a nice step. It’s a nice picture, so I’d like to talk about it. It shows Newtek’s stock price versus the NASDAQ composite and the S&P over the course of five years. It’s nice to see that nice steady outperformance over the course of cost of time. Moving forward to Slide number 15, we talked a lot about our lower cost of debt and equity capital. I think the one thing that was important to point out with respect to 2014; we refinanced mezzanine debt with Summit Capital Partners. We are very thankful to Summit for providing us mezzanine debt when our model was a little bit less proven. They had given us frankly some very expensive debt to sit underneath our CapitalOne Bank line. That debt did enable us to grow revenues, but it was expensive. It was in excess of an 18% interest rate. We have refinanced that debt out and that was done over the course of two years. Unfortunately, the effect of that was to create a charge. It was about $1.9 million, $1.9 million charge that occurred in 2014 that is a non-cash charge. We talked about the improvement of terms on our CapitalOne Bank line which is currently sitting at the SBA and is subject to their final approval. We’ve also talked about securitization doing deals with tighter spreads to the treasury and LIBOR swap curve as well as the better advance rate on the securitization. We believe that we’ll continue to be able to raise capital. We hope to be able to put some more leverage on our portfolio companies which will give us a nice additional capital that will reduce the amount of shares that we prospectively have to sell in the future to meet our growth expectations. For those of you that are not real familiar with the company, I think one of the important aspects of our business is to understand how an SBA 7(a) loan works. So, I am going to try to do this quickly, but we will certainly be available for calls and conversations subsequent to this particular call or during the week next week. The typical SBA 7(a) loan is a million dollar loan that we talk about over 40 non-bank SBA lenders in the United States these licenses have no longer been recently issued. Our average total loan size is $1 million. The average loan size in our portfolio running short it’s on our book is approximately $171,000. In that $1 million typical loan, when you create it there is a 75% full faith in credit US government guaranteed loan participation certificate and it’s a 25% uninsured but not subordinated participation certificate. The loans to the borrowers are floating rate at prime plus two and three quarters. So borrowers are taking the money at a 6% current rate with no caps and a long end schedule of seven to 25 years. This is a significant differentiator to entities like the Lending Crowd and other peer-to-peer lenders that are typically lending at very high double-digit rates. In our programs, borrowers get a great deal. They get a low interest rate. They get a long end schedule. Obviously, they have to qualify. We are very much of a collateral based lender and we are usually – almost I’d say exclusively first lean in one way shape or form. We do, do some seconds, but it’s very far between. We do take second time, second and third pieces of collateral however. This business has been around 61 years. The current amount of originations in this year be about somewhere around $18 billion and we are successful in this business, because after we sell the government guaranteed piece off at 112.5% premium and we securitize the uninsured piece, we get all of our cash back and then we are able to redeploy it in the market. So, unlike other BDCs and of that equity sunk in a loan versus debt arbitrage and clip the coupon, we’re actually repatriating our capital and booking significant risk-adjusted gains. I’d say risk-adjusted and that’s because when we close an SBA 7(a) loan, we take $250,000 uninsured piece and we write it down by approximately five points. So we take a non-cash write down. We do that because we believe that the appropriate market valuation on our insured loan participation is 95 not par. We were through a discounted cash flow analysis which is all information that is in our K. It yields about five and three quarters percent, excuse me 5.35% risk-adjusted. When I say risk-adjusted, it yields 5.35% after a 25% cumulative default rate, approximate 30% severity rate. We will be announcing shortly the hiring of two senior executives. Mike Campbell is going to be joining our organization early next week. Mike will be joining us as chief Credit and Risk Officer for Newtek Merchant Solutions, his bio and resume is on Page 20. Very strong guy, 30 years worth of experience. He has been brought into complement Tom Harkins who is our Chief Operating Officer. So Tom can focus more on ops and business development. We are really excited to have Mike join us in our operations. We are also going to be adding John Ravens. John will be joining Rich Rebetti as Chief Operating Officer of Managed Technology Solutions. John has over 20 years of experience in the information technology space. Tremendous deep expertise. He has been the President and CTO and COO of publicly traded companies. He is a graduate of California Institute of Technology. It’s been 12 active years with the US Army surging as a soldier and special operations. He also worked for the NASA Jet Propulsion Laboratory. He and I have difficult conversations someone always talking about, but I am happy to have him on the team. He is brilliant. He will be working very closely with Rich as well as our Chief Information and Chief Technology Officer CJ Brunet. I think two important aspects to our business is our portfolio of companies. We have a total valuation between the payments business and the technology business of around $66 million, which represents a significant part of our NAV. These are important businesses to us. They provide re-occurring cash flow. In future presentations, we’ll spend more time in looking at these businesses. We’ll give some breakouts and some forecasts and some guidance and give you an idea of how we are coming up with these valuations, but you could see where our valuations are versus EBITDA, as well as with evaluations of public comparisons are. We are not big as those entities but as we grow and enter the portfolio of these entities that attract the valuations, we think we’ll get some valuation expansion going forward. Looking at comparables, we clearly compare ourselves to internally managed BDCs, Hercules, KCAP, Main Street. Looking at some recent non-bank lenders, on their capital lending club and the recently Bank United did a transactions; I’ll focus on that one first. They acquired a non-bank lender which primarily was not particularly active that I am aware of in the SBA 7(a) business in terms of new originations. They bought a portfolio of $203 million. They paid a 10% premium on that and that was 10% premium to net. So, when we look at that and look at how, we are looking at things, we are real happy with where we are in the marketplace and how we are doing valuations. We look at entities like capital and Lending Club and they are getting tremendous valuations as lenders to small business. To my knowledge, neither these entities have achieved profitability yet not they have 11 year history, no one of them have the infrastructure, nor they have a real retail distribution capability to direct lend. So, we are routing for these guys in a big way. Looking at Newtek from investment summary behind I hand this presentation over to Jenny. We are real happy finishing up 12/31/2014 at a higher NAV. We are real happy with our forecasted dividends. I will repeat that, we lay these dividends out on the expectation at 90% to 98% of these dividends will from income. So, it is clearly our expectation that when forecast the dividend, that it’s not returning capital. We’ll also have that one-time special dividend in 2015. It should be a significant number. We talked about investing in operating businesses. We owned and operated the ten operating businesses payment processing, payroll, insurance agency, manage tech, actually payroll is only owned for four years, the others we own for in excess of ten including the lender. These are businesses that we know, we own them, we operate them. There has been very little leverage on these businesses and we’ve been able to generate great cash and cash returns which fit the BDC model extremely well. What internally managed BDC, our management interest aligns with shareholders. We are not getting these returns through derivative securities or excessive leverage, excessive risk or tranching of credits. We have zero exposure directly to the oil and gas industry unless you account convenience store in gas stations which we do not. I would like to turn the rest of the presentation and financial review over to Jenny Eddelson. Jenny?
Jenny Eddelson : Thank you Barry. Good afternoon everyone and thank you for joining the call. As Barry discussed earlier, the company completed its conversion to a BDC on November 12, 2014 and as such, our financial reporting structure has changed. As a BDC, a number of our former subsidiaries including electronic payment processing, managed technologies solutions, Newtek insurance agency and Newtek Payroll, which were previously consolidated were deconsolidated on November 11 and are now treated as portfolio companies on our balance sheet and mark-to-market each quarter. Clear part of the schedule of investment in our 10-K when filed which provides a comprehensive list of all of our debt and equity investments at fair value. As a result of the conversion, our statement of income has been bifurcated into two reportable periods, consolidated operating company results from January 1, 2014 through November 11, 2014 and BDC results from November 12, through December 31, 2014. Based on this reporting requirement, our 2014 results are not comparable to prior periods. Our BDC consolidated statement of income includes the results of the parent Newtek Business Services Corp. and its consolidated subsidiaries Newtek Small Business Finance, which is our SBA lender and several wholly-owned holding companies. Also important to note is that our balance sheet as of December 31, is as a BDC and it’s also not comparable to the prior year balance sheet which included the account of all of our formerly consolidated subsidiaries. A few key items to note if you turn to Slide 29. We closed the year with NAV of $166.4 million, or $16.31 per share. Our investment portfolio on a fair value basis was $233.5 million. This includes $121.5 million of SBA loans held for investment, $31.5 million of loans held for sale, $77.5 million of equity investments which includes the businesses that were previously consolidated when we were an operating company and $3 million in money market funds. Our total liquidity as at December 31, 2014 was approximately $30.8 million, which included $20.8 million of unrestricted cash and $10 million of availability under our lines of credit. Our asset coverage as of December 31 is 223%. Moving to our 2014 statements of income, for the BDC period November 12, 2014 through December 31, 2014, we had total investment income of approximately $2 million, which primarily consisted of $1 million of interest earned on our SBA loan portfolio, as well as $600,000 of servicing income. Our net realized and unrealized gains for the period equal $3.2 million. Overall, we had a net increase in net assets resulting from operations for the period of $681,000. When looking at our operating company results for the pre-BDC period ended November 11, 2014, we had total revenues of $131.8 million, pre-tax income of $7.1 million and EPS of $0.45 per share. Finally, we are confirming our 2015 dividend guidance of $1.81 per share. With that, I would like to turn the call back to Barry.
Barry Sloane: Thank you, Jenny. Operator, we’ll open up the call for questions.
Operator: [Operator Instructions] Our first question comes from Mickey Schleien with Ladenburg. Your line – I am sorry, the first question comes from Adam Morton with RBC. Your line is open.
Adam Morton : Hey, Jennifer, Barry, congrats on the first quarter as a BDC. Good work. Stock has been great and I see the reported NAV at $16.31, stocks trading over that. I would be remised to ask you guys if a capital raise is in the future if you guys might comment on that.
Barry Sloane: Sure. I think, from our perspective, right now, there is no need for additional capital. We have plenty of equity capital to accomplish our objectives which will be to primarily use the – pre-existing raise to do SBA 7(a) loans and do a securitization. As we progress through the year and we pay dividends out and particularly as we get toward the special dividend at the end of a year, there could be a need for that. If we are able to acquire excess leverage from the portfolio companies which is why the Capital Bank restructuring is important to us, that could push that out in the future. I think what’s important and we said this a lot when we did the road show, a whole question of capital raise is being dilutive and we raised capital of $12.50 and I stood in front of people and I said, are you going to raise money again, and I said, yes and they said why, and I said, because we are going to take the money and put it to work and earn a rate of return that is going to be accretive to the dividend that clears the market. Well, I think that’s what the market has recognized. So if we could take this capital and employ it in the SBA 7(a) business, which is generating very high returns on equity and we can take this capital and do acquisitions in the business services space at those types of EBITDA multiples that I talked about earlier and take the capital and put it into existing operating businesses and create the best technology and efficiency and the ability to cross-sell and cross-market. We are going to keep raising capital. We are going to be a much bigger BDC. The stock is going to trade on a more liquid basis. We are going to show up on the radar screens on investors that can’t buy $200 million market cap companies, but can buy quarter of a billion or half a billion and go on from there. So, we’ve been very prudent. We’ve been in business over the course of almost 15 years publicly longer than that privately – we are not crazy. Our major equity has taken the business. So, growing things at an appropriate way and in a controlled manner is sort of where we are at. So, we will be out in the market raising additional capital in the future but we are going to try to push that off as far as we can.
Adam Morton : Fantastic. Thank you.
Operator: Our next question comes from Robert Brock with West Family Investments. Your line is open.
Tim Young: Yes, it’s actually Tim Young for Rob. But, my question Barry is, you had mentioned acquisitions a couple different times, could you talk about the pipeline that you are looking at, at this stage and would you consider a strategic acquisition or must all of our acquisition criteria meet that the – that an acquisition would be accretive in its first year?
Barry Sloane: The first one is going to be real good one. So, not that they hold on be good. I think that, we’ve got one in mind that we are looking at that we know pretty well and it’s going to be nice if we get done that will be a nice buy size and we’ll put a little bit of debt on it and get the types of numbers that we talked about. To be honest with you, it’s been a bit of world wind from the capital raise to getting things in place, talked about a lot of things on this call. So, I really have not started to get out there and work with the investment banks to get a feel for what is out there. We’ll start to do that in the near future. So, there is not a big pipeline. I don’t think you are going to see a lot of them. Maybe you’ll see one in 2015, maybe a second one toward the end of the year if we see something interesting. But we are not compelled to do anything. I think that’s important. In our business model, if it doesn’t fit, we’ll just fit and keep growing organically. We’ll be very opportunistic.
Tim Young: And what about the financially accretive in year one or would be willing to accept dilution in year one?
Barry Sloane: Explain – if you can explain what you mean by financially treated versus dilution, what do you mean?
Tim Young: Well, with the price that you pay for the company, would it be dilutive to book value? Would it be dilutive to earnings per share?
Barry Sloane: No, the goal obviously is that will have a – two things, number one, the buy things that are greater than – it’s a good question, that will be accretive to market clearing dividends, okay, so that’s number one. And number two, when you buy it, you are buying it at a valuation that’s going to wind up going on your books. Now would you hope to be able to do buy things in certain silos, certain acquisitions might be expense related, some of them might be growth related, some of them might be synergistic to other portfolio opportunities. So if I buy a portfolio of payroll opportunities, the ability to sell insurance and payment processing and lending into the book of business. So, all of these things are very much accretive to the overall strategy of what we are doing here in Newtek. I would say, currently, we do not do a very good job of mining the database, cross-selling and cross-marketing that’s one of the things that we will be focusing on over the next several years, just perfecting the way to call into customers without disturbing them in a professional way. So, put it this way, unlike other CEOs do not have a major stake in the company, I have no interest in growing this company for the sake of growing it. Most CEOs grow companies, bigger companies to get bigger bases and bigger bonuses; my reward is in the stock. So, one of the guiding principles for the Board which has to approve acquisition is, is this accretive to the dividend and is this accretive to NAV.
Operator: Thank you. Our next question comes from Mark Silk with Silk Investment Advisors. Your line is open.
Mark Silk: Hey Barry, congratulations on your first quarter as a BDC. I got a few questions for you. So given that you have changed to a BDC and an RIC, how does that change, how you charge-off loans?
Barry Sloane: Thanks, Mark. In the BDC, okay, in the C Corp structure which this actually did have somewhat of a effect in the fourth quarter and the C Corp structure if you had a loan that went to a non-performing category, even though it wasn’t resolved, you wrote it down and it affected your income. Even though, over the course of time, you may collect on the personal guarantee, you may collect on reselling the business, or it’s – Mark, we collect on stuff three, four, five years down the road. I think one of the things we need to do is frankly internally when you do a better job of making sure we could state that case and document it better, I’ll say that. In a BDC going forward, losses occur when they realize. So we are going to act more like a bank. That’s kind of how banks do things. We think we’ve got a pretty clean position now going into 2015 relative to the concept of losses and realization and things of that nature. But there clearly is a difference. So the big difference in the BDC world is, your income is affected when there is realizations, unrealized losses and unrealized gains not affect income, they do affect NAV. So that’s a bit of a difference and some of the accounting – to look at things differently from November 11 and November 12.
Mark Silk: Okay, so that sounds like a net positive for us at this venue. So you mentioned on a BDC and as you know, I’ve been a shareholder since 2006, so I am new to the BDC game. So, as far as comps, so you basically said a lot of NAV – a lot of BDCs trade $1.4 at NAV, so you at $16.31 equals $22.83, so that’s one benchmark. Looking at where your stock close today and your dividend not including the special dividend, say $1.81, $18.27, so you are giving off a 9.9% yield where CDs are giving basically nothing and then if I go very conservative you have a PE less than 10. So kind of, I am new to this, so how can we rank a BDC as far as – some people look at dividend yield, some people obviously look at NAV, but also PE ratios.
Barry Sloane: I think it’s a good question. Number one, just to clarify, the $1.4 is internally managed and I picked four of them. I think that’s an important differential and internally managed BDC. I would also tell you, we are not like the other four internally managed BDCs in a sense that, our five business lines the lender, the processing business, the payroll business, the insurance agency and the cloud computing business, overall operating businesses that we operate everyday. So, they are not like venture capital investments. They are not static pools of loans that are managed by somebody buying loans because, when you buy a loan, if rates move up and down changes in value, ticket rate and the credit gets better, maybe it tighten, that’s not where we get value. So I think it was important to take a look at the growth of book to NAV over the five years, look how we’ve created value. So, when you look at us, you are going to say, hey, do I think this company and this management team with its strategy can actually create value. Creating value would be, number one, growing the cash flow from the dividend, two being able to make attractive acquisitions to bulk up within these footprints and get Heartland type valuations which is in the presentation, - type valuations, Go Daddy type valuations, Endurance type valuations by being bigger, as well as getting better operating leverages from an expense perspective. When you look at our lender, our lender is primarily valued on the books based upon the schedule of investments, right. Then you go look at an on debt capital and go look at an Lending Club, they are valued at some goodwill value based upon the infrastructure that they’ve created. We’ve been doing this for 11 years, they’ve been doing it for three or four. So, I look at, what we have in our lending operation which I think is a real retail ability to acquire business credit. It’s a more controlled growth. I mean, we are just not growing by like 500% or 800% or 900%, right I just, kind of would rather grow 15% to 20% a year and take what I’ve gotten. In the game of risk you sort of take one cotton at a time. So, I think, when you look at us, yes, we are a BDC. So we have a nice tax advantage nature to what we are doing, but you have to look underneath at the underlying businesses, I think you might think this company can grow the dividend and grow the total valuation of the businesses that are underlying that. That’s how I think you should look at us. So, it’s a little art. I mean, I went around the street. I talk to lot of analysts. Talk to investors. Thank god, I will be honest with you, we were so pleased at the road show and the investor reception of some very smart institutions that have listened to what we said. And it takes a little work to invest in Newtek. But, historically it’s been worth it.
Mark Silk: True that, my friend. So an industry question, so, banks versus Newtek where Dodd-Frank is obviously hindering these banks, but also, with interest rates being so low, banks might not want to take the risk of some of these loans at these levels. So kind of what are you saying in the sense of - are people not even going to banks, they are going right to you and how will that play out as interest rates start moving up?
Barry Sloane: I think it was William Tell said I cannot tell a lie. Banks are coming back. And this is the first time I’ve said this in a call in three or four years. So they are coming back. They are forced to put money out in the market and the regulators all of a sudden saying, hey you got to put more loans on the books. So, we are seeing banks come back into the market, the markets gotten more competitive. We still feel very good about where we are and our ability to grow the business and get loans. But clearly, they are getting more competitive. Also along those lines, rates rising is not good for anything except if you have inverse bond fund. Putting those aside, we have a floating rate portfolio. It’s almost exclusively floating rate. We have certain assets and aspects to our business that if the economy heats up, if inflation heats up, if rates rise, we will have less severity, when we have in the full, you might have a greater frequency, because borrowers may not be able to pay the higher rate of interest. But most likely, there will be other people to take on the business. The collateral value of most of our loans are backed by real estate will be higher. So that is beneficial. When you look at things like the processing business, inflation is great for the processing business. So it doesn’t like 5%, 10% inflation in prices. I am not saying we are going there by they and I don’t know if anybody on this call believes in the government, PPI or CPI, I don’t, but if you actually look at real inflation out there, our re-occurring revenue stream businesses frankly do well in that type of scenario. So we have a nice balance. When you invest in Newtek, you also have the credit aspect to it, but unlike most BDCs which are very heavily weighted in credit, we’ve also got this re-occurring revenue stream from business services and it grows very nicely together.
Marc Silk : Okay, and my last question, excluding the SBA, in your opinion, again, this is your opinion, over the next two or three years, what part of the business or what part of Newtek could pleasantly surprise investors and why?
Barry Sloane: That’s a tough question. Well, I think the area that will surprise most is we do in the acquisition space. We are now one investment company in addition to being an operator and frankly, I think we’ve been a very good operator and I think what’s going to surprise people is we actually know how to acquire other businesses, integrate them into what we are doing and I think that will be the surprise, because, I think a lot of people look at Newtek right now for the 7(a) business, just like in 2009 and 2010, when the world was coming to an end and people say, what are you doing in lending, you should just grow the payments business and the cloud business. Well, I think the surprise for most people on this call right now was everyone is in love with small business lending and I am too. But that’ll come a point in time when that’s just less attractive it will have the other businesses that, when you ask me, Barry, do I think the electronic payment processing business has got great growth potential with mobile payments and the way transactions are going to change, absolutely. Cloud computing, I still talk to people about having a server and most small businesses still have their server at a cloud that they have no idea where it is. So, yes, I think the big surprise will be that, three, four, five years from now we’d be having conversations about the business services unit, really being equally important to the lending business.
Marc Silk : Okay and my last comment, Barry, is, as you looked for different investments, it's always good to know that there is a management team that has skin in the game and you definitely have a lot of skin in the game. So I think, when people are making decision between should I buy stock A or stock B, it definitely weighs in your favor. So keep up the good work and I look forward to future calls.
Barry Sloane: Thank you from the class of 2006. It was a very good year.
Marc Silk : Yes.
Operator: Our next question comes from Mickey Schleien with Ladenburg. Your line is open.
Mickey Schleien: Good afternoon, Barry. How are you?
Barry Sloane: Good, Mickey. How are you? You are better in Florida, so that’s…
Mickey Schleien: So, Barry a big - one big picture question, a couple of smaller ones. I think you briefly already talked about - a question on my mind, which is how did your customers on the loan side behave the last time the Fed raised interest rates, which is what, roughly ten years ago, given that they are relatively small and these are floating rate loans?
Barry Sloane: It’s a great question, Mickey. I think that the key issue with respect to – the behavior is, number one the magnitude of the rise and I hate to say it, but it’s been such a long time since rates rise like – have risen, I’ve got to test my memory a little bit, but, we’ve really haven’t had major sharp spikes. I’d have to go back and think about probably it was, I think 2006, 2007 rates, spiked a couple of points. Listen, I think, the good businesses are able to survive that. I mean, we stress test our loans to be able to survive 200, 300 basis point spikes in rates. Most of those spikes in rates are also driven by inflation. From our standpoint, Mickey, one of the reasons why we have been good in lending is we want to lend the businesses that are not to point of liquidity. So what does that mean? We want businesses that have got hard assets, that have got other liquid assets. So, I mean, one of the things that’s really important when you are lending is, you got to make sure that business has got some dry powder. So, yes, our business is to get stress if they were to see a 200, to 300 basis point rise in rates. I don’t particularly see that in the near future, particularly on the short end of the curve. I just don’t see it. And, at least in the next couple of years that are in front of us. They do complain they do look for the exits, but most of them cannot qualify for a fixed rate opportunity. Now, one of the things that we’ll be looking at going forward is, to be more active maybe in the five or four loan program. We’ll be doing larger loans with a fixed rate option for new originations. I think that will be very useful. We are well positioned to do that. But, it’s not a panic problem for our customers to have a couple of hundred basis points rise in rates based upon most of them having some form of liquid collateral that they can rely upon to be able to make the higher rate increases.
Mickey Schleien: Okay, I understand. Barry, you talked about banks becoming more competitive and generally with the more conventional BDCs, where we are just not seeing the banks compete other than, maybe a small revolver collateralized by receivables or inventory. In your world, is it because a large proportion of your loans have real estate as collateral, and that makes the banks more comfortable in lending to this market and therefore more of a threat to you? Is that - am I understanding that correctly?
Barry Sloane: It’s a good understanding. If you surveyed 2000 or 3000 banks, and said how many of you like cash flow loans with no hard collateral, you get a very small response rate. So, the reality of that is, just from an industry perspective that exists. In our market, if we happen to have a situation where the value of the collateral now has given a 20% to 30% equity cushion. That borrower, and that by the way that doesn’t, that’s not always happening, that’s not I guess snap in the fingers, but that borrower can go today to a community bank and probably get a fixed rate loan. Now, they won’t get a long-end schedule that probably have a loan that’s due in three years or five years. Okay, our loans with the same collateral with 25 year. So, for a company that’s really concerned about the cash flow, we went out on amortization all day long and our loans do not have the covenants specifically bank loans have. A lot less onerous once the loan is on the books than dealing with a typical bank as a bank borrower, I can attest to that. All lot of advantages to the SBA loan, I don’t want to exaggerate that this is like a lay down refy. We have never seen that, even with the rates rising or collateral values increasing.
Mickey Schleien: I understand. Couple of more questions more on the modeling side. Of the G&A that you are showing for the - sort of month-and-a-half that you were a BDC last year, $2.2 million, was there anything non-recurring in there that we should be aware of?
Barry Sloane: No.
Mickey Schleien: Okay, and, lastly, could you walk us through the increase in NAV from sort of the middle of the year to the end of the year, was that being driven by revaluation of the portfolio companies was it - or something else, just broadly speaking?
Barry Sloane: It was driven by cash raise and some very minor re-evaluations in portfolio companies.
Mickey Schleien: Okay. Thanks for your time this afternoon.
Barry Sloane: Thank you, Mickey.
Operator: Our next question comes from Michael Kitlinski with UBS. Your line is open.
Michael Kitlinski : Actually, it was asked and answered. But thank you.
Operator: Thank you. Our next question comes from Hannah Kim with JMP Securities. Your line is open.
Hannah Kim: Good afternoon. Thanks for taking my questions. I am calling in for Chris York this afternoon. So, Barry, I just wanted to ask you, if you could provide additional color on why origination volume in November seems to be a lot lighter compared to October and December?
Hannah Kim : Sure. So the origination volume -- I think on the last call you mentioned for the month of October it was $25 million. In the press release today it said that the fourth-quarter origination volume was $65.2 million, and also highlighted that December had a record level of roughly $30 million. So this implies that November had an origination volume that was only about $10 million. So I was just trying to maybe -- trying to understand why November origination volume is much lighter compared to October and December?
Barry Sloane: I am not sure how you draw the conclusion. I think what you might be looking at is, the issue of gain on sale. And somewhere around, I don’t what you are getting…
Hannah Kim : Sure, so the origination volume I think on the last call, you’ve mentioned for the month of October it was $25 million. In the press release today, it said that the fourth quarter origination volume was $65.2 million and also highlighted that December had a record level of 30 – of roughly $30 million. So this implies that November had a origination volume that was only about $10 million. So, I was just trying to maybe get - trying to understand why November origination volume is much lighter compared to October and December?
Barry Sloane: Hannah, I am inviting you to my management meetings once a week, when I speak to Peter Downs and Bob Rabucks, because I ask them the same questions. I will tell you that, it’s somewhat random. I mean, I could tell – these are closings. So, I mean, I could say that it’s a Thanksgiving factor, week before, week after, that’s kind of a tough thing, because a lot of people vacation around then. I will tell you, let me put October aside for the moment. December, everybody as a mad rush to close loans in December, that’s…
Hannah Kim : So that's seasonal.
Barry Sloane: There is clearly, Hannah, by the way, I am going to bring in this up because I know I am not answering your question. We clearly are a seasonal business. Most loans close – we have a much bigger closing ratio in December and in the fourth quarter, but particularly December than any other month. In the processing business, because of the retail tilt, we have much more processing volume in the fourth quarter. Now, there shouldn’t – there really shouldn’t be a rational reason why November was light, it just was.
Hannah Kim : Okay, great. Thank you.
Barry Sloane: Thank you very much.
Operator: Our next question comes from Ralph Toburg [Ph] a private investor. Please go ahead.
Unidentified Analyst: Hi my question has to do with – I have really two questions. The first one is, I don’t quite understand why the price of stock dropped $1.5 when the dividend is like $0.39. The second question is, there is a special dividend coming about in 2015 and I am wondering if you can tell me a little bit more about what size that will be? Thank you.
Barry Sloane: Sure. On the first question Ralph, I don’t really have a good answer for it, either I try not to predict things. I think it might have a situation where there – my understanding of the BDC market is there are lot of people that buy stock, leading up to a dividend and today we are ex-dividend. So you just could have had – and so, do we have an efficient market on a $200 million market cap stock today, I don’t know. I have to ask the market makers that, but I think people that are paying attention to this call, looking at a company that does do things for the long-term, if you think that’s wrong this could be a buying opportunity. But there is no other reason to explain the price action today. Relative to the concept of the special dividend, the accounting in internal and external tax people will do their work to calculate what the tax position of the company was and that’s obviously not an easy thing to do. It’s not just, Jenny, correct me if I am wrong, in such as tax for 2014, we got to go back over like the history of the company.
Jenny Eddelson: Correct.
Barry Sloane: And it is a very intense calculation and it’s essentially our distribution of the retained earnings on a tax basis. So it is 14 years of – it’s 14 years of tax work. So, we will come up with a number. The Board will make a decision as to what makes most sense for stock holders in terms of when to declare it, when to distribute it, it must be distributed in calendar year 2015. So, that’s now we have sense and buds that’s to maintain our RIC status I believe, so.
Unidentified Analyst: Okay, I appreciate that. Thank you very much.
Barry Sloane: Thank you Ralph
Unidentified Analyst: And I look forward to the growth of your company. I am very excited about it.
Barry Sloane: I appreciate the call. Thank you.
Unidentified Analyst: Thank you. Good bye.
Operator: Thank you. Our next question comes from Gregg Hillman with First Wilshire Securities. Your line is open.
Gregg Hillman : Yes, hi, good afternoon. Barry, can you first talk about to your businesses, cloud computing and payment processing and particularly how they are differentiated from the competitors? And also, for payment processing, can you talk about the risk of MasterCard and Visa being dis-intermediated and being toasted by other, people that will charge the merchants less and how that might affect you?
Barry Sloane: Sure. I’ll do the second one first. The issue with Visa and MasterCard is interesting. Visa and MasterCard stock and I haven’t looked it in the last quarter or so, but, for the last many, many years, it’s done very, very well and they’ve got great franchise and great valuation and effectively our payments business. As we sit here today, it’s very much of a reseller of Visa and MasterCard. There is a Federal Reserve report out there talking about security in the payments business and it really sort of emphasizes that the Fed is interested in promoting ACHing. I think that, we – although we haven’t started yet, we developed a relationship with the company called SEQR, SEQR is owned by a Swedish company called Seamless that has a very interesting mobile-based payment solution which is more secure than the Visa and MasterCard, customers on our Visa, MasterCard number and it basically ACHes money from a consumer’s account to a business account by half the cost of debit. So, I think what you are going to see is, more electronic money moving in lieu of debit. Debit is a big part of currently the Visa, MasterCard system. So, we can talk about that offline. It’s a fairly lengthy conversation, but, mobile payments as you say, people are going to be using phones, they are going to pay that way and there is going to be a need to be more secure solutions, because the amount of breaches that we are having with credit cards, just doesn’t really work. Looking at our businesses, the payments business and people buying things, it’s moving more and more to online. So, I would challenge anyone to find a company that is in the hosting business can design a site, it has the payments gateway and the processor doesn’t exist. We need to do a better job going forward of bundling these services to customers, making that offering and letting people know we are in place to go to get this business done. And the payments business is becoming more and more of technological solution put that aside, our payments business exists in Wisconsin. It’s got a sound separate management team. It’s got its own, these are two separate different entities, but we think we’ve got significant competitive advantages, most importantly the way in which we acquire a client using a financial technology, new tracker, which you can read about, you can call me about, it’s like the salesforce.com for a business referral process. So we are not using independent agents to acquire businesses. We are not using typical feet on the street sales and we are using technology. So what makes Newtek different is the ability to acquire customers cost-effectively on a direct basis and to process the business remotely and really to be a solutions provider and not just a seller of a product. That’s really where we sit sort of in the eco chain and marketing these different businesses.
Gregg Hillman : Okay and the cloud business, how are you differentiated there, cloud computing?
Barry Sloane: Well, I mean, the comps basically, my payments business, historically, if you take a couple of one-timers out there, $8 million or $9 million of pre-tax or EBITDA and then you go look at something like a Heartland that’s $90 million or $100 million, it’s double the valuation, right? So, I am a believer that just by getting bigger, and getting bigger economies, you are going to have multiple expansion in addition to cost reduction and movement to the bottom-line. In addition to – when you do these acquisitions, you pick up better technology, you pick up better talent, pay for them, you pick up distribution. So, we’ve been in these businesses ten years. We know them. We have good management teams. We know how to operate them. Getting larger and by the way, so if you are buying these with an EBITDA multiples, it’s accretive to the basic market clearing dividend. Right, so nobody is going to complaint about that. And then you get margin expansion. So, I am indicating that we’ve got a decent chance, right, because you are trying to figure out whether or not you can invest in this company, in this management team, I think we’ve got a decent chance and not only doing things that are accretive to the dividend, but also accretive to valuation. And that’s what we are attempting to do.
Gregg Hillman : Okay, and okay, on just on two other notes. Just in the protocol environment, is there a limit to what the government will guarantee for SBA bonds?
Barry Sloane: The SBA program is there for 61 years. It typically is zero budget item, meaning that the premium that the SBA gets for losses has been offset by the losses that it’s incurred. Depending upon the given year or some years there are no cap some year, there is budget. We have not had a budgetary issue in six years.
Gregg Hillman : And who is the largest SBA lender in the United States?
Barry Sloane: Who is the largest? I believe it’s either Wells Fargo or J.P. Morgan Chase and they are like $900 million give or take and given the size of those entities, this business could never move the needle.
Gregg Hillman : Okay, okay and then Barry, finally, just in marketing, do you have any strategic alliances, or maybe you can talk about how you go to marketing and whether you could do any strategic alliances that will have marketing or loan originations accelerate?
Barry Sloane: Yes, most of our business comes in through strategic alliances with entities like Morgan Stanley, Credit Union National Association, The Hartford, New York Community Bank. We have a lot of them. We need to do a better job penetrating them and we’ll get better growth out of the existing business model as well as bringing on new relationships. So we are constantly looking to grow the new relationship base. We are also looking to do a better job penetrating existing relationships with getting better co-operations from alliance partners
Gregg Hillman : Okay. Thanks for your comments.
Barry Sloane: Thank you
Operator: Thank you. We show no other questions in queue. I’ll turn it back to management for closing remarks.
Barry Sloane: Well, I want to thank everybody. That was a terrific call. I really appreciate the participation. Obviously, we have a lot of new investors in the company, in the stock, both institutionally and retail that participated today. It’s an exciting time. I guess, to reiterate, we finished this call with the last GAAP number being our NAV at $16.31 Jenny, with an expected dividend this year subject to Board approval. I have been told many times to keep saying that. So, subject to Board approval of $1.81. Not a lot of leverage on this business. Good cash in the bank to be able to execute on our business strategy and the management team that cares and it’s an incentive. So, we’ve appreciated your participation and certainly welcome the new investors as well as the old ones. Thank you very much.
Operator: Ladies and gentlemen, thanks for participating in today’s program. This concludes the program. You may all disconnect.